Operator: Welcome to ViaSat's Fiscal Year 2016 Third Quarter Earnings Conference Call. Your host for today's call is Mark Dankberg, Chairman and CEO. You may proceed, Mr. Dankberg.
Mark D. Dankberg - Chairman & Chief Executive Officer: Okay. Thanks. Good afternoon, everybody. I'm Mark Dankberg, Chairman and CEO. And I've got with me Rick Baldridge, our President and Chief Operating Officer; Shawn Duffy, our CFO; and Keven Lippert, our General Counsel. And before we start, Keven will provide our Safe Harbor disclosure.
Keven K. Lippert - Secretary, Vice President & General Counsel: Thanks, Mark. As you know, this discussion will contain forward-looking statements. This is a reminder that factors could cause actual results to differ materially. Additional information concerning these factors is contained in our SEC filings including our most recent reports on Form 10-K and Form 10-Q. Copies are available from the SEC or from our website. With that said, back to you, Mark.
Mark D. Dankberg - Chairman & Chief Executive Officer: Okay. Thanks. So we'll be referring to slides that are available over the Web. And I'll start with some highlights and some news, and then Shawn will discuss our consolidated and segment level financial results. And then I'll give some additional details and some color on our strategic initiatives and thinking. And then we'll summarize our outlook and take questions. So besides our earnings, we've got news on three important new topics. They are an update to our ViaSat-2 launch plan, our starting construction on the ViaSat-3 global constellation, and a new strategic partnership in Europe with Eutelsat. So I'll start with the financial highlights and then come back to the other three. And our results show we're making good progress on increasing the value of our ViaSat-1 bandwidth in the satellite services segment and increasingly in our government segment, too. Keep this in mind as we move later to the ViaSat-2 and 3 discussions. Our satellite services segment earned record revenues in the third quarter of $141 million. That's up 14% year-over-year, and grew adjusted EBITDA of 33%, $63.5 million. Government systems also earned record revenues in the third quarter of $151 million, up 15% year-over-year, and grew adjusted EBITDA 16% to $37.5 million. On a year-to-date basis, excluding the nonrecurring benefit of last year's Loral litigation, satellite services adjusted EBITDA was up 55% year-over-year to $180 million. And on a year-to-date basis, government adjusted EBITDA was up almost 20% to about $100 million. Company-wide adjusted EBITDA for the third quarter was pretty much flat year-over-year on a 2% increase in revenues, and that's due to unfavorable comparisons to last year as the NBN infrastructure project in Australia winds down, and also on increased R&D spending, especially for ViaSat-3. Year-to-date, company-wide revenues are up 5% year-over-year and adjusted EBITDA is up 16%, excluding the benefits of the Loral settlement on those same factors. So earnings growth and margin expansion in the satellite services and government segment are driven by higher value applications of our bandwidth. This includes steady growth in government and commercial air and mobile broadband, consumer ARPU gains, cost reductions due to scale, and improved network efficiencies. While a large majority of our bandwidth is already generating revenue, we've been quite successful in migrating those bandwidth usages to higher value applications and service plans. We still have quite a bit of room for sustained earnings growth, and I'll come back to that later. We're just at the very early stages of applying ViaSat-1 to government applications. But it should be clear that producing the world's most cost effective satellite bandwidth creates fabulous fuel for profitable growth. So these three new strategic announcements are good news for sustaining our long-standing historical EBITDA growth rates. First, while we still have great confidence in SpaceX, it's clear that a few recent challenges are stressing the Falcon Heavy won't manifest. So based on our ViaSat-1 actuals, we anticipate that ViaSat-2 would generate about 10 times the revenue of a typical commercial satellite, or figure around $40 or $50 million a month in steady state. So we're extraordinarily sensitive to unscheduled risk. Given that, we and SpaceX have agreed to move our existing 1 contract to a future ViaSat-3 satellite. And we've added an option with them for another launch, as well. For ViaSat-2, we executed a contract with Arianespace for a launch in the first quarter of calendar 2017, as well as for a launch of one of the ViaSat-3 satellites. So, all things considered, the Ariane launch builds confidence in our target, mid-calendar 2017 service launch for ViaSat-2, and it also preserves our total ViaSat-3 capital budget – I'm sorry, ViaSat-2 capital budget. Then, as we suggested last quarter, the pieces have fallen into place to start construction on the first two ViaSat-3 satellites with Boeing satellite systems. The first one will be the follow-on to ViaSat-2, with about four times or better bandwidth productivity, and covering a third of the world, including all the Americas. We're targeting ViaSat-3 in-service about two to three years after ViaSat-2. The second ViaSat-3 will cover the Europe, Middle East, Africa region and launch in 2020. And that leads to our third important strategic announcement. We've reached agreement with Eutelsat to form a new retail consumer services entity in Europe, which will be 51% controlled by ViaSat, and initially leveraging their existing KA-SAT satellite, which uses our network infrastructure. Along with that, we'll acquire 49% of the existing wholesale KA-SAT business for about €130 million. So, obviously, this is a great way for us to translate the WildBlue to ViaSat-1 playbook that we used in the U.S., but this time, with an enduring relationship, with a very strong European partner, and an even bigger payoff due to the fabulous bandwidth productivity of the ViaSat-3 class satellites. We have a long and successful history with Eutelsat and we're extremely pleased to be making our first global expansion with them. We still have a lot of work ahead of us to complete the new ventures but we've already accomplished a lot with the execution of this framework agreement. So with that, I'll turn it over to Shawn for more detail on the financials.
Shawn Lynn Duffy - Chief Financial Officer & Senior Vice President: Thanks, Mark. Slide 5 shows revenue and adjusted EBITDA performance for the third quarter of fiscal 2015 compared to the same period last year. Revenues were up 2% year-over-year, with strong growth in satellite services and government systems, offsetting declines in commercial networks. In satellite services, our segment revenues continued to grow, up 14%, to record levels once again this quarter. In addition to strong revenue growth, we are seeing the continued benefits of the operating leverage of the service business, with adjusted EBITDA increasing over 33% year-over-year. Top line growth occurred across all our market sectors with residential broadband offerings and in-flight connectivity being the primary drivers. ViaSat's commitment to delivering quality broadband service offerings since the onset resulted in another quarter of residential ARPU growth, up 7% year-over-year to $56.74 per month. This level of ARPU represents a $12 or 27% increase from when we first launched ViaSat-1. Turning to commercial air, during our third quarter we had an average of 437 aircraft in service and saw an increase in average revenues per aircraft, which allowed our commercial air revenue to more than double from the same period last year. All of these factors, along with the continued operating scale economics and lower advertising and marketing cost, generated year-over-year increase in segment adjusted EBITDA of $16 million. Before I move to government and commercial segment results, I wanted to briefly highlight some of our key Q3 satellite service metrics. Residential subscriber counts were just over 687,000 by quarter end, just slightly up from the previous quarter and up over 12,000 year-over-year, even though we are at or near full capacity on the vast majority of our ViaSat-1 beams. And to clarify, when we say we're at capacity constrained, this is related to the capacity we have currently dedicated to our six consumer business and not the capacity we've set aside for the future growth of our commercial air and government mobility services. Our Q3 churns improved once again, sequentially down from Q2 and subscriber acquisition costs were down materially compared to both the previous quarter and the year-ago period due to higher utilization of refurbished CPE for new [subscribers]. **[Turning to our Government Systems segment, revenue also grew nicely, up 15% YoY, with growth coming primarily from global mobile broadband, situational awareness, and tactical data link products. Our government Q3 orders came in at $147 million as Continuing Resolution delays moderated orders all the way into December 2015. However, despite these impacts segment awards still grew 3% YoY, and we are starting to see some early indicators that these headwinds are freeing up in our Q4. Adjusted EBITDA also grew, up 16% from the prior period as a result of higher top-line revenue, and YoY Services revenue expansion of 17%.]**
Operator: Ladies and gentlemen, please stand by. Your conference call will begin momentarily. Again, please remain on the line. Your conference call will begin momentarily. Thank you. Speakers, welcome back. Please continue.
Shawn Lynn Duffy - Chief Financial Officer & Senior Vice President: We'll pick up to where we were in commercial networks. Our revenues were down year-over-year as we complete the NBN Co. infrastructure project, as well as declines in terminal sales and antenna systems product sales. However, with an expected service launch in April 2016, we began seeing new consumer terminal orders from NBN at the end of the third quarter. As Mark mentioned earlier, our ViaSat-3 activities are well underway, which drove our Q3 segment R&D expenses to double the level we incurred last year. I'll provide a bit more context around these impacts later but, in the near term, we do expect to see a pretty significant uptick in development activity supporting our ViaSat-3 satellites as we close out FY 2016 and continuing for the next several quarters. Slide 6 shows revenue and adjusted EBITDA performance for our fiscal 2016 year-to-date period compared to the same period last year. Comparisons with the prior period, however, are skewed by the aggregate $40 million earnings impact of the Loral settlement realized in Q2 fiscal 2015. Just to recap, in the second quarter of last year, we booked a one-time benefit to product revenues of $21 million, and a one-time G&A credit of $19 million as a result of the settlement. I won't spend much time on this slide as many of the revenue drivers are the same as those in the quarterly comparison on the previous slide. But I would like to highlight the 16% growth in adjusted EBITDA year-to-date to $250 million, excluding the Q2 FY 2015 Loral impact, compared to a relatively flat year-over-year Q3 where the rising impact of our ViaSat-3 R&D activities tempered our EBITDA results. So as further context, if we look at the core business without the Q2 FY 2015 Loral settlement and our year-over-year R&D spend acceleration, our existing business grew adjusted EBITDA on a year-to-date basis compared to last year by approximately 26%. Much of this continuing growth is driven by top line ARPU growth and expanding operating leverage we're seeing in our satellite services where year-to-date adjusted EBITDA grew by more than 55%. Turning to the next slide in both the quarter and year-to-date periods, operating income was lower due to higher depreciation and amortization expenses on essentially flat Q3 adjusted EBITDA and slightly lower year-to-date adjusted EBITDA due to the recent increases in R&D expenses I mentioned earlier. Turning to taxes, as you may know, the Protecting Americans from Tax Hikes Act was enacted in December 2015, which permanently extended the federal R&D tax credit retroactive to the beginning of our fiscal Q4 2015. The $6.4 million impact of this legislation swung it from a net tax expense position to a net tax benefit both for the quarter and year-to-date periods. When looking at the comparative Q3 periods, it's important to keep in mind that our Q3 last year also included a fed R&D credit reinstatement catch-up benefit of approximately $8 million. So year-over-year, our benefit is approximately $2 million less. As a result of the points we just discussed, non-GAAP net income for the quarter and year-to-date was down $4.1 million and $12 million respectively. The earnings per share figures follow the same relationship with a slight variance to the change in shares outstanding. However, it's worth summarizing that the impact of the Loral settlement in the year-to-date figures for last fiscal year represented a benefit of $0.50 per share. So excluding that as well as the R&D uptick and fed R&D credit impact, our non-GAAP diluted EPS generated from our core business actually increased 100% year-over-year. Looking at our cash flows, you can see that our year-to-date cash flow from operations was below last year's level by about $52 million, which was mostly due to large swings in working capital. The increase in working capital was driven primarily by higher inventory levels and our government product lines, a decrease in customer advances and lower accrued interest due to the normal timing of those interest payments. It's worth noting that our Q3 quarter cash collection activities were very strong with operating cash flows generating over 50% of the year-to-date activities. And our trailing 12-month cash flow from operations is trending at approximately $300 million, which is funding a significant portion of our next-generation satellite investments. Our year-to-date capital expenditures and investments for fiscal 2016 decreased by about $27 million due to our acquisition of NetNearU last year for $56 million, partially offset by capital software investments and other Q3 investments to expand our (18:43) footprint. So we ended the quarter with $200 million outstanding on our $500 million revolver, and $161 million outstanding on our $525 million Ex-Im loan commitment. Our net leverage increased slightly to 2.6 times trailing 12 months adjusted EBITDA due to the higher debt balances. Yet our Q3 liquidity position remains very strong. A bit later, I'll spend some time recapping our satellite CapEx profile as we look outward, as well as see how that shapes up into our overall debt and leverage outlook. So with that, I'll turn it back over to you, Mark.
Mark D. Dankberg - Chairman & Chief Executive Officer: Okay. Thanks a lot, Shawn. I think we may not have our slides up at this point. So they should be back up. And if not, we'll post them and you'll be able to reconcile that. Okay. So they're online so you can get them. And I'll try to describe what's up there as well. So at this point I'll try to put some color around our strategy and our outlook, given all that's happened leading up to today's announcements. So we've got a chart on our capacity expansion schedule. And our launch window with Arianespace for ViaSat-2 is first quarter of calendar 2017. Satellite construction's proceeding well. Given the overall progress to date, we have more visibility into post launch activities, leading to beginning of service. While there's still some puts and takes, we anticipate the ViaSat-2 in-service date to be mid-calendar 2017, which is about where we've been for the last year or so. So, net-net, (20:22) a little slippage in the actual launch schedule for more certainty, but without materially impacting the timing of revenue generation from the satellite. And remember, ViaSat-2 has about double the bandwidth economics of ViaSat-1 so that creates a lot of opportunity for growth. When we look at the ViaSat-3 platform, the economic gains over prior generations are even more compelling. It's also very important to note that we're also gaining efficiencies in delivery timing. The gap between ViaSat-3 Americas in-service and ViaSat-2 in-service will be around two years or so. And that compares to over five years between ViaSat-1 and ViaSat-2. So obviously, we would've benefited from launching ViaSat-2 quite a bit earlier. But the technology wasn't there yet. We've been investing steadily for years in the successor to ViaSat-2. So this time we're aiming to cut that gap between satellites roughly in half while still getting an even bigger boost in productivity. And then we're planning to launch ViaSat-3 Americas in mid-calendar 2019 and ViaSat-3 in the Europe, Middle East, Africa region planned for early 2020. We and Eutelsat are still studying and evaluating options for interim capacity earlier than that. The coverage and flexibility of the ViaSat-3 class satellites enable much greater opportunities than merely follow-ons to existing markets and we've got another slide to help illustrate that. Okay. So they're back. Good. So this slide shows the planned initial ViaSat-3 constellation and the checkmarks show the first two are now underway. That column chart is just a reminder of how incredibly productive these satellites are in terms of simple bandwidth economics. That basically means how many gigabits you get per $1 million of capital investment. The representative beam maps show how extensive the coverage is, essentially two-thirds of the world with the first two satellites and illustrates that we have the reach and economics to serve vast emerging markets in South America, Africa, Middle East and Western Asia and we also have the ability to dynamically manage exposure to those markets based on demand and business case. Each ViaSat-3 satellite is anticipated to have as much bandwidth as all the rest of the satellites in the world combined. And that includes all of the high throughput satellites that are now under construction. So we think we'll have the economics to profitably address the most attractive markets anywhere in those footprints. That purple and white map helps illustrate the importance of the dynamic coverage flexibility in the ViaSat-3 class satellite. About 95% of the world's population lives on the land area that's shown in white. Only 5% of the population lives in the purple area. And then for comparison 5% of the population also lives in the land area that's shown in tiny little red dots. It's been shown over and over that while there's proportionally a higher penetration of satellite services in low population density regions, by far, the highest amount of absolute demand is in the highest density population regions. So one of our key design criteria for ViaSat-3 was to have the flexibility to allocate bandwidth resources efficiently for very broad geographic areas while still being able to focus it on very small ones, a very unique capability in the satellite industry. So this next slide, so a pretty simple but effective illustration of how we use advances in bandwidth productivity that's enabled by our very unique vertically integrated technology to both compete in the market and generate growing financial returns. The chart shows time on the horizontal axis and EBITDA yields in dollars per satellite. For ViaSat-1 the useful bandwidth on the two WildBlue satellites were running about $200 million in annual revenue and $80 million in annual adjusted EBITDA combined. So that was a pretty nicely profitable business for us but compared to those, ViaSat-1 offered almost a 20X gain in bandwidth economics. So we used some of that productivity to give better service to our customers and we turned a lot of it into earnings. Our current run rate is almost $250 million a year in satellite services adjusted EBITDA and it's still rising and about 90% of that is attributable to ViaSat-1. So that's almost 6 times the yield of each of WildBlue's first two satellites in earnings per service as subscribers are much happier with it and it gives us a bigger addressable market. Looking ahead ViaSat-2 is about another factor of two gain in that productivity and, in theory, using the actual bandwidth yields that we're getting on ViaSat-1, which again are still rising, we could target EBITDA for satellites at as much as $500 million a year. But, as with ViaSat-1, we expect to give a lot of that productivity gain to our customers and use some to improve our margins and shareholder returns and finance even better satellites to follow. The productivity growth on ViaSat-3 is even more striking and we believe will create substantial separation from satellite competitors and enable us to compete more effectively in broader markets. The table at the right lists some of the key factors in ultimately determining how productivity gains flow into operating markets. Some of it's eaten up by bandwidth deflation, that is customer's expectations of getting more bandwidth each year for about the same price. We'll also trade more bandwidth to get higher growth rates. For instance, we can offer virtually unlimited plans that use more bandwidth that are much more attractive to customers and let us add subscribers faster. In that case, we're competing to some extent with bandwidth productivity gains on the edges of terrestrial markets. But other factors work to improve our margins. As our business scales, we get more and more cost efficiencies. Some of our higher value customers are on variable service plans where they get more value by consuming more bandwidth and they pay higher subscription fees. For instance, that's true for Aero Mobile and government. Increasing our speeds even for the same volume of bandwidth also increases value and we're seeing that effect now with our speed boost offering. The bandwidth and the flexibility of ViaSat-2 and 3 will allow us to offer peak speeds of 100 megabits per second and with ViaSat-3 bursts in the gigabit per second range creating more opportunity for higher value. We can also use the coverage and the bandwidth flexibility of ViaSat-2 and 3 to boost bandwidth around new geographic markets and new applications within those markets. For instance, we can move bandwidth across geographic or market applications that have different peak busy hours, and create win-win situations with very attractive pricing and cost-sensitive markets, while still growing earnings. Aero Mobile usage, coordinated with residential, is a good example of that effect, but there are many more. Of course, as we get productivity gains on these satellites from customers, over time, we reduce the EBITDA yield on our older satellites. The overall return on each satellite is based on the integration of the area under each curve, adjusted for the time value of money. We believe we've provided enough financial data to our investors to model these effects, and find that the returns on capital are very attractive. So our success in the commercial in-flight connectivity market has attracted a lot of attention, and we think it's worth focusing on for a few reasons. Existing, conventional and lower-yield type of satellites provide a pretty poor in-flight connectivity experience baseline at a very visible and powerful contrast to what's possible with our bandwidth economics. Others just don't have the bandwidth productivity to enable a satisfying experience to a large number of passengers simultaneously on hundreds or thousands of planes at an affordable price. Streaming video is a great stress test that everybody understands and effectively separates out weak bandwidth. Nobody can fake a satisfactory streaming experience at scale. The failure mode's just too obvious in the buffering and frustration. Ultimately, we believe we can achieve similar effects and contrast with existing satellites in pretty much every other market we enter. On pretty much all those markets, we'll compete with incumbent business models that are generally based on very limited usage of expensive bandwidth. And that's true in commercial in-flight connectivity, general aviation, maritime, oil and gas companies, you name it. Our bandwidth enables fundamentally different business models that just can't be replicated with small amounts of expensive bandwidth. For instance, the current in-flight connectivity market is oriented around charging very few passengers very high prices for very limited service. The airlines have been okay with that, until competitors such as JetBlue and Virgin America have delighted passengers with free Wi-Fi, including free Netflix and Amazon Prime. That's an astonishing difference to a passenger compared to paying $50 per flight for Wi-Fi that doesn't even support YouTube. At CES, the keynote speaker, Netflix CEO Reed Hastings, even included a reference to Netflix on Virgin America at 30,000 feet. JetBlue, who will offer free Wi-Fi, including Amazon Prime video on all its flights, has been the industry leader in growing and keeping passenger revenue. And that's not surprising when survey after survey identifies in-flight connectivity the single most desired passenger amenity. Of course, JetBlue is already known for its focus on passenger experience. We think in-flight connectivity is a key part of that. And Vice President, Jamie Perry, capture that perfectly when he points out why would anybody want to have Wi-Fi in a plane that passengers don't use. So the key to changing the business model, the high quality, high engagement in-flight connectivity is that it also changes the flow of money. The initial model was for a Wi-Fi provider to charge passengers as much as possible and then share that revenue with the airline. Not only did that make for grumpy passengers but it almost completely forecloses the potential for Internet media companies to use a positive connectivity experience as a way to engage with valuable passengers. Clearly, the more passengers that use Wi-Fi, the more valuable the opportunity. And there's nothing that gets the passengers' attention more than tie-ins with a high profile Internet and media entertainment, social media and other apps that are part of daily life. So last quarter, we began to see a power of that effect when JetBlue's Amazon Prime promotion was introduced. We'll present more data on this soon with JetBlue and Amazon but for now we'll just say that Amazon has gotten striking gains in the popularity of Prime Video compared to other forms of entertainment. That makes for a win-win-win-win situation for the airline, the passengers, the sponsoring Internet companies, and ViaSat. It's a powerfully different business model that simply can't be produced without our bandwidth productivity and the sheer amount of bandwidth no matter what the price is. Last year we said that 2015 would be the year that the airlines began to understand the implications of our in-flight model. We think that definitely happened. And we think this will be the year that the airlines begin to take action so stay tuned for that. So this next chart shows where we achieved strong growth in adjusted EBITDA this year in satellite services and government business segments even with those constraints on bandwidth. We think we can continue that in the next few quarters leading up to the ViaSat-2 launch. This chart shows the main ingredients. We're aiming for a sustained consumer ARPU growth through higher value service plans including our recent 25-megabit speed boost as well as new plans for business customers and additional ancillary services. We're seeing strong commercial aero growth as we add more airplanes, serve more people per plane and engage those passengers in higher value activities like streaming video. In our government segment, one key element of recent growth has been selling and installing Ka-band and Ka/Ku-band terminals on more and more government aircraft and we'll begin to see more and more services revenue this calendar year as those aircraft go into service. That revenue will show up in our government segment and then we're also seeing good demand and growth opportunities in our Tactical Data Links and Information Assurance businesses. The next slide gives a little more color on our Eutelsat strategic partnership. As I mentioned before, the purpose is to combine ViaSat's expertise in sort of retail services and satellite technology with Eutelsat's leading position in broadband services in Europe and better leverage the synergies between satellite TV and satellite broadband in Europe as has occurred in the U.S. This is also a good example of our strategy to partner with leading companies in each target global market versus trying to invade as just a purely American entrant. So our partnership will start by leveraging Eutelsat's existing KA-SAT and the coverage net is a good indicator of how we can both benefit from the integration of KA-SAT with our current Ka-band fleet and with ViaSat-2. We'll leverage KA-SAT's existing wholesale business space in residential and our roaming agreements from mobility. But we'll also start a new retail entity that'll be led by ViaSat to more effectively monetize the existing KA-SAT bandwidth. We intend to use their retail business on KA-SAT to generate a running start for ViaSat-3 and to help fund a portion of the new satellite. Our Eutelsat partnership is only for the European market and we still have more work to do with Eutelsat to turn our existing framework agreement into the final operating entity agreements. But it should create a very cost effective path for us to build on the existing space and ground infrastructure, their existing wholesale business and augment that with a higher value retail service. We're both pleased with our joint progress and the basic idea is to recreate what we did in the U.S. with the legacy WildBlue business and then turn that into an enduring profitable growth business for both of us.
Shawn Lynn Duffy - Chief Financial Officer & Senior Vice President: Before Mark provides some final comments, I wanted to touch in on some points surrounding our ViaSat-3 program and related CapEx profile. A couple items to note are, one, the upper right chart includes not only our ViaSat-3 program activities but also completion of our ViaSat-2 satellite project. Additionally, the satellite CapEx included in the chart reflects the full network buildout. In other words, in addition to the satellite construction, launch and launch insurance costs includes all capital costs of the construction of our ground and infrastructure network. As we look out over the next three to four years, you can see that satellite CapEx across all programs averages around $275 million per year and we have quite a few levers around pacing our satellite build and to even a greater extent the build out of the ground infrastructure. When we think about our project spending profile, we have quite a bit of flexibility. We have approximately $570 million of liquidity under our existing debt facilities and our core business continues to grow and generate significant levels of cash. Recalling my earlier comments surrounding our cash from operation trends, remember, we generated about $300 million over the past 12 months which effectively entirely funds this level of satellite CapEx. Additionally, as we look to our leverage levels reflected in the chart on the bottom right, we see strong delevering trends over the past several years, and we are currently in a very low leverage position, which gives us a lot of flexibility for additional funding sources over the next few years. Looking out, we expect to hit our peak leverage level in around fiscal 2018 or 2019 which includes the incremental fueling (37:02) of ViaSat-2's service launch and related subscriber acquisition costs. So all in, we expect to stay within a comfortable leverage level throughout our ViaSat-3 Satellite project which then peaks in fiscal 2018 and 2019 and additional levers to pay for our network activities based on affordability. With that, I'll turn it back to you, Mark.
Mark D. Dankberg - Chairman & Chief Executive Officer: Okay, thanks. So here I'd like to kind of just deal with what we talked about so far down to the effects we expect on our financial outlook for the last quarter of our fiscal 2016 and for our upcoming fiscal 2017. We see good growth prospects in satellite services and government systems. Clearly, our future has been services more than in selling technology and products in our commercial segment. NBN infrastructure is winding down and there will be some unfavorable comparisons in that segment year-over-year. And also year-to-date government orders, that as Shawn mentioned, have been stretched out a little bit due to the extended defense budget continuing resolution. That's kind of a sector wide issue. So far, seems like our own government business has been resilient enough to overcome that, but we always like to point out that quarter-to-quarter timing risks are always there for new orders in our government business. Our adjusted EBITDA for fiscal 2017 may be affected or will be affected by the fact that we're building the ViaSat-3 payloads ourselves. Overall, the cash costs for the two ViaSat-3 satellites are planned to be quite favorable. On average, the same or less than ViaSat-2 even with targets of better than four times demand load. But, as we have been working through the accounting rules on the development and construction project, we see we're going to end up expensing more of the ViaSat-3 project and capitalizing less of it. From a management perspective, it doesn't change the cash profile, but from an adjusted EBITDA perspective, it will result in a significant growth in our R&D expenses in our fiscal 2017. The incremental R&D expenses for ViaSat-3 for fiscal year 2017 compared to fiscal 2016 were estimated at an increase of about $30 million. And that R&D outlook is baked into the capital spending outlook Shawn just described. The upshot is that we're estimating adjusted EBITDA of fiscal 2016 at about $345 million to $350 million, based on a solid fourth quarter. Adjusted EBITDA for fiscal 2017 is estimated in the $380 million to $390 million range. For reference, those estimates are about the same as the current consensus of eight analysts for fiscal 2016 and about $10 million to $20 million less than their consensus for fiscal 2017. Actual results could be affected up or down by timing and specifics of new contract awards along the way. But the takeaway is that the improving economics of our satellite services business and our strong transition of the government segment are supporting solid financial results, and we're reinvesting that in what we believe is a truly transformational opportunity for the company. Also I wanted to point out that we're working with additional potential strategic partners with both the Americas and the Europe, Middle East, Africa ViaSat-3 and in the event we include those ingredients, (40:27) we anticipate they'll benefit our earnings outlook or our capital outlays order book. We're aiming for ViaSat-2 to be in service around the end of the first quarter of fiscal 2018, so we anticipate good sustained growth in fiscal 2018 as well. So that's it for our prepared remarks, and we'll open it up for questions.
Operator: Thank you. Our first question comes from Mike Crawford with B. Riley and Company. Your line is now open, please go ahead.
Mike Crawford - B. Riley & Co. LLC: Thank you. Mark, can you just try to illustrate a little bit about capacity issue, how much capacity on a satellite you would need to provide service for, say, a certain speed to a certain number of devices on, say, planes in the area?
Mark D. Dankberg - Chairman & Chief Executive Officer: Okay. So, yeah, what you need to do when you do that is you have to take into account the route structure of the airline because most of the airlines tend to have focal points in New York, Chicago, Boston – New York, Chicago, Dallas, Denver, Los Angeles as examples, Houston. And it turns out you need in each of those markets at peak times several hundreds of megabits per second to serve even less than 100 people per aircraft in those markets. So that, when you look at lots of even these high throughput satellites have less than 100 megabits per second in those markets. So it's only a fraction of what you'd need, even to support, say, less than 1,000 aircraft. So it's a lot.
Mike Crawford - B. Riley & Co. LLC: Okay. That's helpful. Maybe take it another way. So if let's say ViaSat-2 has 300 gigabits per second capacity. With a satellite like that and type level of service you envision to provide, is there a cap on amount of commercial aircraft you think you could provide in a given area with the ViaSat-2 architected service?
Mark D. Dankberg - Chairman & Chief Executive Officer: No. If you look at – one of the things we've said and remember, what's really important to any users of these applications is peak busy hour demand, not just the average demand. And the peak demand is what drives it. And the peaks generally occur multiple times per day as you have waves of aircraft that come in and out of these major airline hubs. So we've said several times, let's say, we've allocated on the order of 10%-ish of the ViaSat-1 bandwidth support the hundreds of airplanes that we have now. So that's, call it, 10-ish gigabits. We expect to be able to support well over 1,000 aircraft on ViaSat-2. But that means tens of gigabits per second, especially as we're seeing more usage with these streaming applications, Netflix and Amazon. So that's what you talk about is like tens of gigabits. But again, even if we applied only 10%-ish of ViaSat-2, that's 30 gigabits of available capacity, which kind of dwarfs that amount. That would be available in these markets underneath these other satellites.
Mike Crawford - B. Riley & Co. LLC: Okay. Thank you. And then just because the ROIC calculation is a little tough on the outside, given that some of the revenue you generate from ViaSat-1 gets thrown up in the government systems and then you have this continued CPE and subscriber acquisition investment you make. But can you give a rough – like can you estimate what your ROIC on ViaSat-1 has been or will be, and then the same for ViaSat-2 and ViaSat-3?
Richard A. Baldridge - President & Chief Operating Officer: Yeah. Well, what I'd say is we've done a – how you'd normally go back – this is Rick. And look at did the investment thesis that you had, did the IRR, which you can convert to ROIC pay out. And we think that the ViaSat-1 has turned out as good or better than what we had anticipated to start with. But I think more than that, if you look at it like a project, then it looks like that. If you look at it like a business, like you said, it's pretty hard – until you get into a steady state mode, it's kind of hard to calculate an ROIC for a business that you're re-investing, and customer acquisition and in the R&D for the next generation product. So, if we calculate it from an IRR standpoint, we're achieving really high IRR. When I say really high, kind of venture capital-ish high IRR returns on these investments. So we expect to be somewhere between – the famous chart that shows the DBS operators, and the cable guys, and the wireless guys – we expect to be somewhere between the DBS guys and the cable guys in ROIC on our business, in an ongoing business.
Mark D. Dankberg - Chairman & Chief Executive Officer: And that's in the between 20 and 40, that range.
Richard A. Baldridge - President & Chief Operating Officer: Yeah. Yeah.
Mike Crawford - B. Riley & Co. LLC: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Andrew DeGasperi with Macquarie Capital. Your line is now open. Please go ahead.
Andrew DeGasperi - Macquarie Capital (USA), Inc.: Great, thanks. I wanted to get maybe some additional color from either Mark or Shawn, on why did you guys form a JV as opposed to maybe offering the service directly in Europe? And maybe can you highlight why is it important to have a wholesale partner there? Thanks.
Mark D. Dankberg - Chairman & Chief Executive Officer: Okay, yeah. So one is, there are a number of benefits that we get by working with Eutelsat. One is Eutelsat has a very strong position in Europe. They have an inventory of orbital spots that are a good resource for expansion. They have strong regulatory and landing rights positions throughout Europe. And, as we've seen in the U.S., there's a very high congruence between the people that have satellite Internet and people that have satellite TV. So working with the leading satellite Internet – satellite TV provider is a strong position. The other thing that worked really well for us in the U.S. was we acquired the WildBlue business and it gave us a running start in our retail business, which has turned out to be a big driver of the financial success of ViaSat-1. We have a much proportion of retail customers. Our ARPU has grown substantially. So the big things that we get here with Eutelsat are the ability to start creating a retail network around the existing KA-SAT satellite and have that in place at the time that we launch a new satellite, build on good orbital position and to work with them on better leveraging the synergies between satellite TV and satellite Internet. Could we do those things without the joint venture? Yes, we could. We just feel like this is a much more expedient – it's a good low-risk return tradeoff, and we like working with Eutelsat. They're a good partner for us.
Andrew DeGasperi - Macquarie Capital (USA), Inc.: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Chris Quilty with Raymond James. Your line is now open. Please go ahead.
Chris D. Quilty - Raymond James & Associates, Inc.: Thanks. Just to follow up on the prior question, what specifically did you invest in? I think you mentioned $103 million in terms of assets or investment capital that you own in that joint venture.
Mark D. Dankberg - Chairman & Chief Executive Officer: Okay. So the number we put out was €130 million, and what we have – just to be clear, we have a framework agreement with Eutelsat. We'll be creating two new entities, essentially a retail entity, which will be new, which we will have 51% of and then a wholesale entity which we'll build around the existing KA-SAT. They will have 51% of that. So the €130 million essentially gets us 49% of the wholesale business, which is the existing KA-SAT business and infrastructure. And that includes the satellite itself, all the ground network infrastructure, all of the networking equipment that goes into making that, as well as 49% of the cash flow associated with that business.
Chris D. Quilty - Raymond James & Associates, Inc.: Got you. And for Shawn, how should we expect that to flow through the P&L and pop up on the balance sheet?
Shawn Lynn Duffy - Chief Financial Officer & Senior Vice President: Yeah. I would say that we're still in the early work, as Mark mentioned, to completing out the joint venture and closing the deal. So I would say we're going to update you guys, as we get closer to all of the financial details. The best way to think about it is we're effectively going to get the 50% economic benefit of the combined group.
Chris D. Quilty - Raymond James & Associates, Inc.: Okay. And, Shawn, actually, when the transcript cut out, you were just saying, on the script, about the SAC, and so I think we missed the whole piece that followed that which probably included the government piece. Can you perhaps just run through that quickly?
Shawn Lynn Duffy - Chief Financial Officer & Senior Vice President: Well, I...
Chris D. Quilty - Raymond James & Associates, Inc.: Or circle back to it?
Shawn Lynn Duffy - Chief Financial Officer & Senior Vice President: Sure. I mean, I can tell you that from a SAC perspective, the SAC was down this quarter from last quarter, but also the prior period. So we had a higher balance of refurbished equipment that we used within our new (50:54) space. So it's been trending down. It went down again. As far as – I'm not sure exactly on the government systems specifically what you're looking for. I mean, we had very strong top line growth, very strong EBITDA performance growth, and a lot of that's driven across government, mobile broadband, Tactical Data Links, but we also had an uptick in the service base there, about 17% year-over-year.
Chris D. Quilty - Raymond James & Associates, Inc.: Service up 17%?
Shawn Lynn Duffy - Chief Financial Officer & Senior Vice President: Yeah, service revenue.
Chris D. Quilty - Raymond James & Associates, Inc.: Okay. Also question, Mark, you're building the payloads for ViaSat-3. If I'm not incorrect, this is the first time you've ever built payloads. And so are you...
Mark D. Dankberg - Chairman & Chief Executive Officer: No.
Chris D. Quilty - Raymond James & Associates, Inc.: No?
Mark D. Dankberg - Chairman & Chief Executive Officer: No. So one of the things we've talked about over about the last two years is we've had a subcontract with Thales to do the Ka-Band payloads. And that's for cross links and feeder links on the Iridium NEXT constellation. So that's pretty interesting because there's close to 80 of those satellites. So it's really given us very good experience working with a satellite prime on getting space qualified. And we've shipped already – shipped the first launch worth of chipsets for that. And we're, I don't know, maybe a quarter of the way through that manufacturing process. And it's really relevant because the way that we structured our contract with Boeing is essentially they're giving us the payload framework for us to attach our modules to. So it's actually kind of a direct – think of it as a direct predecessor for what we're doing on ViaSat-3. The only thing I would add is the people that are doing that are people that have done this before when they were at Motorola. And we've continued to bring people with space experience into that facility.
Chris D. Quilty - Raymond James & Associates, Inc.: So you're doing it in Carlsbad or where?
Mark D. Dankberg - Chairman & Chief Executive Officer: In Arizona.
Chris D. Quilty - Raymond James & Associates, Inc.: Okay. And if you can just elaborate a little bit, with ViaSat-3, is that going to require separate antennas, either for the mobility applications or fixed site to deal with the high number of beams? I think you mentioned previously 1,000 beams on those satellites.
Mark D. Dankberg - Chairman & Chief Executive Officer: So we talked about a progression in sort of beam counts from dozens, hundreds, to thousands. So think of it that way. But I think we also said that one of the cool things is that the terminals that we put out on ViaSat-2 will be forward compatible on ViaSat-3. So the terminals themselves are basically indifferent to the next generation of satellites.
Chris D. Quilty - Raymond James & Associates, Inc.: Okay. And with the – I'll ask one final question and jump in the queue. Once you have this capacity online, obviously, you have an existing base of business in consumer. You're also established in the aero portion. As you look out to some of the other traditional satcom applications out there, what else do you view as attractive? And do you intend to go after all these markets directly or does it make sense to co-op some of the existing players and sign distribution agreements for certain applications or even within the markets like aviation where you already have a foothold?
Richard A. Baldridge - President & Chief Operating Officer: Yeah, so two...
Mark D. Dankberg - Chairman & Chief Executive Officer: I can think of three that we're pretty well established in already. One is the commercial in-flight connectivity market. Number two is the government market, and that one's been fabulously successful for us. We have a very, very high market share and we're pretty much creating that market. Then third one is the general aviation market, especially in higher-end aircraft. And one of the things that we've found in going after those markets, and this is sort of what I was trying to point out in the in-flight connectivity market, is that the business models of the incumbent ecosystems really didn't want there to be lots of bandwidth at very low cost. So that made it – it has made it, I'd say, a little more difficult for us to get into the market. It's taking longer. Ultimately, we think it's going to be far more rewarding because we have a prime position in those markets. But the fundamental issue is sort of changing the business case that says, wow, we should have tons of bandwidth and it should be very low cost. So we expect to apply that to the maritime business. The maritime business is a great opportunity for us, especially when they have all that ocean – enormous amounts of ocean bandwidth, far more than has ever existed in the world before, and great flexibility to apply it to the right markets. And we'll see if we can work with existing distribution to accelerate that under good terms or not. Same thing's true for oil and gas, lots of demand in the oil and gas market, lots of demand in enterprise, applications in backhaul for Wi-Fi or cellular. I mean, just think of any place where people think bandwidth is too expensive. That's a great target market for us, and that's almost every place.
Chris D. Quilty - Raymond James & Associates, Inc.: Got you. So basically distribution strategy evolves over time.
Mark D. Dankberg - Chairman & Chief Executive Officer: Yeah. We just don't want to find ourselves in a place where our distributors don't want to drive down airtime prices.
Richard A. Baldridge - President & Chief Operating Officer: But think about it. Guys want to buy the same thing for less money, probably not a right place for us to go.
Mark D. Dankberg - Chairman & Chief Executive Officer: Right.
Chris D. Quilty - Raymond James & Associates, Inc.: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Andrew Spinola with Wells Fargo. Your line is now open. Please go ahead.
Andrew C. Spinola - Wells Fargo Securities LLC: Thanks. I'd like to ask specifically about your guidance for Q4 and fiscal 2017. It's pretty significant growth in EBITDA, both sequentially and year-over-year considering the $30 million headwind you referenced, and I'm just wondering, when I look across your segments, it looks like the biggest driver of that's got to be in ARPU and, potentially, I guess maybe planes coming online. And could you talk about the backlog of planes coming online and your view on how ARPU can grow in Q4 and next year at these levels, continuing at these levels?
Mark D. Dankberg - Chairman & Chief Executive Officer: Okay, so yeah. On the planes, think of it as multiple dimensions. One is adding planes. We've been doing that pretty steadily. And I think, not going to comment right now on the backlog because – stay tuned, we think it's going to grow pretty significantly. I think, though, the other really important elements that we're seeing are more people per airplane, so that's steadily rising. It's just like adding more airplanes. If you weren't growing the penetration, the only way you're going to grow is by airplanes. But if you grow in penetration, that's a really good way to grow. And then the other one is more bandwidth usage per person. And that's especially true with the in-flight streaming, which is a very, very popular option. So that's a very good growth opportunity for us. I think people tend to underestimate that. On the ARPU side, the way we're getting growth there is we're offering new plans. We've had – for instance, this 25 megabit per second speed boost offering has been really popular. We just introduced that. And then we've also been offering plans, if you look on our website, plans that let people use more bandwidth in off hours. They're generally pretty attractive. They're a little higher priced, but people get a lot more utility out of them. And then we're offering some enhanced home services care opportunities as well. Those are the things that will drive ARPU. And all those things will be manifested in satellite services EBITDA. And then on the government side, probably, the biggest driver for us will be as the aircraft that we've been outfitting with Ka-band terminals start using Ka-band bandwidth, that's going to be an important factor as well.
Richard A. Baldridge - President & Chief Operating Officer: Just like we did in the WildBlue where we actually were turning down customers and growing EBITDA in earnings, just from a cost efficiency standpoint, we're doing that over this next year to 18 months.
Andrew C. Spinola - Wells Fargo Securities LLC: Understood. Could you possibly give us a general magnitude of how much your ARPU is in the aviation business, maybe, on a year-over-year comparison?
Mark D. Dankberg - Chairman & Chief Executive Officer: Well, the one thing we'd say, we've used this comparison about a year and half ago where we said think of each airplane as like 100 subscribers, 100 consumers, and it's actually, even though consumer ARPU has risen since then, the airplane usage has grown even faster. So we're not there yet, but it's getting to be where you could think of it as more like double that. Think of it as closer to 150 to 200 passengers.
Andrew C. Spinola - Wells Fargo Securities LLC: Got it. And just a question...
Mark D. Dankberg - Chairman & Chief Executive Officer: 150 to 200 consumers, sorry.
Andrew C. Spinola - Wells Fargo Securities LLC: Understood. Just a question on your CapEx outlook table or chart, rather, in the presentation: the CapEx for ViaSat-2 that goes into fiscal 2018, 2019, 2020, is that the ground network investments? Or I guess the point of my question is does this table include your terminal CapEx?
Shawn Lynn Duffy - Chief Financial Officer & Senior Vice President: That is just the ground infrastructure and everything to bring the network live. We do have some additional CapEx for expansion of the network over that time for ViaSat-2. So CPE is kind of a separate (01:01:23) so we kind of think of that as success-based CapEx. And so that's not reflected in that chart.
Andrew C. Spinola - Wells Fargo Securities LLC: Got it. And just one last quick one for me, the press release with the joint ventures with Eutelsat talks about trying to potentially procure incremental capacity in advance of ViaSat-3. I'm not aware of any Ka-band capacity over Europe. Are you considering using Ku-band capacity or how could you go about that?
Mark D. Dankberg - Chairman & Chief Executive Officer: No. We're just thinking about some sort of think of it as quick reaction Ka-band capacity, which would be along the lines of, although not necessarily this, but along the lines of the flexible broadband system that we're doing with Boeing using their 702SPs. The construction schedule on those are pretty short. So that would be an example of the way we could bring interim capacity.
Richard A. Baldridge - President & Chief Operating Officer: It could be that. It could be a Ka-band payload on another satellite. It could be any one of those things.
Andrew C. Spinola - Wells Fargo Securities LLC: Got it. Thank you very much.
Operator: Thank you. We have a follow-up question from Chris Quilty with Raymond James. Your line is now open. Please go ahead.
Chris D. Quilty - Raymond James & Associates, Inc.: Thanks. Just a follow-up: You had mentioned that the switching from the Falcon Heavy to the Ariane 5, your capital budget is still in place. But generally an Ariane 5 is going to cost you $100 million to $120 million more than what you were paying for the Falcon Heavy. So were there other puts and takes in the program where you were able to produce savings to maintain the budget?
Richard A. Baldridge - President & Chief Operating Officer: Yeah. I think Ariane had a hole in their manifest. And we were able to grab it. And so we think we got a good price. And the insurance cost, our estimates for the insurance between the two, just given that there was such an early flight on the Falcon Heavy, was much higher. So when you take into consideration the two factors, we're within the estimate that we had.
Chris D. Quilty - Raymond James & Associates, Inc.: Got you. Also, the press release you had out today mentioned something about integrating your Ku-band service with Rockwell Collins. Can you elaborate on that? Is that merging or selling the Yonder business or what was that referencing?
Mark D. Dankberg - Chairman & Chief Executive Officer: Operational (01:03:37) It's just a way – think of really what's led the way on our in-flight connectivity for general aviation and commercial aero has been – think of it as passenger cabin usage. And so this is just an example of ways that we're looking into flight operational or cockpit type data. So that would just be an application on those same aircraft. We've been working with Rockwell in the past on outfitting business jets.
Chris D. Quilty - Raymond James & Associates, Inc.: So a data sharing type agreement?
Mark D. Dankberg - Chairman & Chief Executive Officer: It's really just more on integrating the connectivity with cockpit and operational avionics data as opposed to passenger cabin data.
Chris D. Quilty - Raymond James & Associates, Inc.: Got you. Shawn, can you give the specific CFO and CapEx in the quarter?
Shawn Lynn Duffy - Chief Financial Officer & Senior Vice President: The specific CapEx...
Chris D. Quilty - Raymond James & Associates, Inc.: Cash flow from operations and CapEx.
Shawn Lynn Duffy - Chief Financial Officer & Senior Vice President: Yeah, absolutely. The cash flow from operations was about $112 million and then if you're just looking at the all-in investing activities, that was about $165 million and that includes all of the satellites to start work on our ViaSat-3 project, the CPE and including capitalized interest.
Chris D. Quilty - Raymond James & Associates, Inc.: But not obviously the Eutelsat agreement yet?
Shawn Lynn Duffy - Chief Financial Officer & Senior Vice President: Right. We haven't funded that yet.
Chris D. Quilty - Raymond James & Associates, Inc.: Okay. And on the ViaSat-3 program, when do you begin to capitalize? Because normally you've already elaborated you're not capitalizing your R&D costs, which normally would get folded in to the program. What's the trigger where you initiate normal GAAP accounting for building a satellite?
Shawn Lynn Duffy - Chief Financial Officer & Senior Vice President: It's pretty similar to other outfits that you construct and it really starts to tee in as you start to construct the assets and do some of the early quality and certain other works around integrating them into the satellite. So it just happens a little bit later in the process than if you were potentially to do it with other parties.
Richard A. Baldridge - President & Chief Operating Officer: I think it's fair to say that we're following GAAP.
Chris D. Quilty - Raymond James & Associates, Inc.: No, I know but the way that you're separately manufacturing the payloads and the bus, apparently, you're not able to capitalize the R&D like you normally would in a program like this.
Mark D. Dankberg - Chairman & Chief Executive Officer: One way to think about it is the payments to Boeing will certainly be capitalized because it's a capital purchase. The parts that will be expensed are really more prototyping type things that are in advance of the actual flight hardware. If you want to think of a simple demarcation line, think of it as engineering models and tests, which normally a prime contractor would do as part of their own payload construction. When we buy it from them, if they do engineering models, that ends up being capitalized. But when we're building the payload, we're really going to end up primarily capitalizing the flight hardware itself.
Richard A. Baldridge - President & Chief Operating Officer: It's possible, Chris, that we've been a little conservative in these estimates. But no, that's – we wanted to give an outlook that's...
Mark D. Dankberg - Chairman & Chief Executive Officer: Right. And that's why we're going through on a case-by-case basis, looking at each part of the program and making a decision on whether it should be capitalized or expended.
Shawn Lynn Duffy - Chief Financial Officer & Senior Vice President: Exactly.
Mark D. Dankberg - Chairman & Chief Executive Officer: But think of it as that it's a flight – in some sense, flight hardware is sort of a dividing line, at a simplistic level.
Chris D. Quilty - Raymond James & Associates, Inc.: Okay. And so just to clarify on the guidance for fiscal 2017, the $380 million to $390 million, that includes the assumption of spending $30 million on R&D-related activities that won't get capitalized?
Richard A. Baldridge - President & Chief Operating Officer: That's probably closer to $40 million. That's an incremental $30 million over what we spent this year.
Chris D. Quilty - Raymond James & Associates, Inc.: Got you. And for the aero business, aviation business, the number of net adds have been kind of tailing down. When will you complete your rollouts with your existing customers and assuming no new customers are brought on?
Mark D. Dankberg - Chairman & Chief Executive Officer: Yeah. It's a little more complicated than that because all of our airlines are adding to their fleet or they're rolling out. A lot of this stuff's a little bit in flux because of fuel prices. But in general, they're adding new aircraft to their fleet. And so that has been announced each new order as it's come in. But that's been growing our backlog. We probably added over 100 aircraft without announcing those aircraft on the airlines that we already have. And that's going to continue as you look at their fleet modernization programs. Then there'll be another – we're pretty excited about our prospects. And we think you'll see additional airlines coming on as well.
Richard A. Baldridge - President & Chief Operating Officer: We actually hope to get more of the current customers' fleet as well.
Mark D. Dankberg - Chairman & Chief Executive Officer: Yes.
Chris D. Quilty - Raymond James & Associates, Inc.: Okay. And ViaSat-3, is it going to have the traditional latency of a geo satellite or is there anything different about it?
Mark D. Dankberg - Chairman & Chief Executive Officer: Roundtrip. The roundtrip time to the satellite, still the same. We've said in the past that we're doing things to help mitigate that for a lot of applications. But they'll still be geosynchronous satellites. And that aspect won't change.
Chris D. Quilty - Raymond James & Associates, Inc.: Got you. Great. That's it for my questions. Thank you.
Mark D. Dankberg - Chairman & Chief Executive Officer: Thanks, Chris.
Richard A. Baldridge - President & Chief Operating Officer: I think that's probably it all the time we have.
Mark D. Dankberg - Chairman & Chief Executive Officer: Okay. Yes. Thanks. A lot of news today, a little bit longer call. We appreciate everybody's time and attention a lot. So thanks for that and we'll talk to you next quarter.